Operator: Greetings and welcome to The ExOne Company’s First Quarter 2016 Financial Results Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ms. Karen Howard, Investor Relations for the ExOne Company. Thank you, you may begin.
Karen L. Howard: Thank you, Donna, and good morning, everyone. We appreciate your time today for our first quarter 2016 financial results conference call. On the line with me today are Kent Rockwell, our Chairman and Chief Executive Officer; Hans Sack, our President; and Brian Smith, our Chief Financial Officer and Treasurer. They will be reviewing the results that were published in the press release distributed after yesterday's market close. If you don’t have that release, it’s available on our website at www.exone.com. The slides that will accompany our discussion today are also posted on the website. Referring to the slide deck, on slide two is our Safe Harbor statement. As you may be aware, we will make some forward-looking statements during this discussion and may also do so during the Q&A. These statements apply to future events that are subject to risks and uncertainties, as well as other factors that could cause actual results to differ materially from where we are today. These risks and uncertainties and other factors are provided in the earnings release, as well as other documents filed by the company with the Securities and Exchange Commission. These documents can be found at the company’s website or at www.sec.gov. Kent will get started by providing highlights for the quarter and a strategic perspective, Hans will then review our operational progress and Brian will go through the detailed review of the financial results. Then we will turn it back to Kent to close before we open up the line for questions and answers. And with that, I'll turn it over to you, Kent.
Kent Rockwell: Thank you, Karen, and good morning. Welcome to all of our guests for this morning’s call on Q1 2016. The ExOne first quarter revenue of $8.4 million was a record quarter for us being a first quarter. We demonstrated I believe about 24% growth year-over-year through the prior quarter. That’s a little less than we had anticipated ourselves when we were getting [indiscernible] we had one machine that we would have hope to have recorded in Q1. That actually slipped a little bit into April and it’s in the Q2. But the improvement in quarter-over-quarter was still not modest. We expect to continue to see improving year-over-year improvements as we move quarter-to-quarter. We have a continuing acceptance of our binder jetting technology. We are seeing it growing in multiple areas. I want to just spend a minute on that trying to explain that because we see it so much that I think sometimes people can get to confused by what that means the binder jetting technology is applicable to a variety of applications, which are subsequently different and the customer’s uses and requirements. The main binder jetting technology that we provide it drives our revenues at this point is the indirect printing of sand mold and cores for making casting. That business is the larger machines. It’s been around for a good while. We feel that we are very dominant participant in that marketplace and we continue to make technical advancements in what we are providing to the customers on a global basis and we have a good foundation of growth opportunities in again global situations for the indirect printing. But in addition to indirect printing the binder jetting technology applies to things such as making of tool molding, which is something that has recently taken out a lot of significance for some of our customers and it’s coming out of the data phases into real production. This market is a sub market that’s entirely different and making a casting that’s a market that has certainly several million dollars of opportunity for us. And we are very pleased with the progress we are making with all of our customers in that area. There is a lot of aerospace activity as well as automotive prototyping and that’s moving along excellently for us. Third and very, very important is the direct printing technology, which is also using binder jetting. We’ve talked about this before, but it’s the direct printing of metal from customer materials or of the materials we’ve developed internally for our customers to consider for use. That is a nation business. I think we’ve said from the beginning that the majority of that revenue would take some time to develop because it’s very, very material specific. I will say at this time that the credibility and the knowledge for direct printing using the binder jetting technology is gaining a great deal of acceptance amongst a great deal of our major Fortune 200 customers. And we’re very pleased with that progress, the true revenue growth for that is really to come as their materials are qualified, but we have right now people in and out of this our DREAM Center every week now talking about major opportunities to go into batch production in direct materials. And this is the business that I believe ultimately will become the largest business that we’re in even though as I said it’s a fairly small portion of our revenues at this point. The machine sales that will come from it and the part sales that will come from it through our services center are going to be very, very substantial as we move into future periods and we’re going to see that starting to increase here in the next several quarters. I’m not going to talk about cost containment, working capital I have got two other guys behind me they can talk about that we’re doing the job, we said we’re going to do I think as I’m very satisfied with that progress. And you’ll hear more about it. On the next slide, I had the opportunity to participate in the opening of the GE Center of Additive Technology Advancement the CATA, which is here in Pittsburgh area about an hour from where we’re located. This is a magnificent facility that’s basically dedicated to analyzing the feasibilities and the practicalities of application for a whole host of 3D printing opportunities from lasers, and e-beams to our binder jetting and yet these are other technologies that will just be evolving. So GE is certainly a leader in this process. We’re very pleased that they selected one of our S-Maxes. They have put that in place and it’s running there. You can go and see it in demonstration they’re using it for prototyping and for learning about other casting applications. More importantly, GE has other locations some of the direct printing machines. And we believe that this facility is going to have more of our machines here shortly, as they understand and start to apply our binder jetting technology to a host of new opportunities that they see. We’ve had several engineers visiting us here not only GE, but other major Fortune 200 type companies. All strongly enthusiastic now that they understand the cost effectiveness that the binder jetting provides as oppose to some of the other alternative technologies. On the next slide, there is another document out talking about the growth in this industry. The total 3D printing market is expected to triple to $21 billion from the current $7 billion that we’re looking at right now. And so we -- obviously it’s a very, very large market of opportunity and I think everybody has recognized the dramatic impact it’s going to have on a global basis. There is some great global reports out the Roland Berger has one as one as well as the [indiscernible] report some of that [ph] we see annually. ExOne’s focus within that $21 billion market is in industrial markets they’re using the binder jetting technology. That’s obviously a sub-sector of $21 billion. And what makes us different from these other technologies is the process by which we are developing finished product and parts. But the action on binder jetting and this is being more and more proven out by these customers that are doing the things such as GE. As we have the most cost effective production process, when you look at certain parts application, and that cost effectiveness is very, very critical to a very large subsection of that market that we’re looking at above. It applies certainly in automotive it was driven by cost; also in the aerospace and in the industrial casting market. And so we're very pleased that we’re now getting more visibility in the one report that I read here recently, it said binder jetting was a lesser known technology and I’d have to say that that lesser known is fairly promptly being erased with the customer activity that we are seeing here now coming through our doors and paying us to do R&D development on materials that they want to print most of which proprietary one of the difficult aspects about trying to communicate with the market is that most of our customers don’t want anybody else to know what they are doing. And so we have NDAs that we have to honor some of it still was very competitor aspects of how they are applying this technology in their field. So there is an increasing demand for both the direct applications of binder jetting and the indirect is continuing to improve in the large business sector, the large machine sector. And so we feel that we are going to see a very, very promising growth in the 2016 period and beyond. With that, I am going let Hans and Brian to carry on and I will make a couple of closing comments.
Hans Sack: Thank you, Kent. Good morning. Our 2016 priorities are shown on the slide as presented to you in March, the first point is for the revenue side. Our efforts to improve sales initiative and reporting systems continue on plan and they are effective. Industry acceptance is growing. The PSC business is also growing and has excellent contribution margin, but facility utilization has room for improvement and therefore is a priority for us in 2016. We are focused on profitable growth and therefore we aim to lower our breakeven point. In addition to addressing the utilization of facilities and overall operational execution, we are focused on improving efficiencies within our S&P activities. Slide nine please. I reported previously on our project to implement software solutions for the sales and after sales organization. We have by and large completed these implementations, we are already seeing the effect and improved management of sales project, better knowledge and decision making. Another benefit is better visibility of our project pipeline. It is clear that the number of known projects including those we have quoted already is growing. In after sales service the early impact is on resource planning, with other benefits following such as in training and knowledge database editor. Next slide please. Our cost containment initiative is ongoing. One element is an in-depth review of our PSC footprint, we have decided to serve the Washington, the other Washington area customer base previously served by our Auburn PSC from our Las Vegas PSC. By moving production to another site and reducing total plant overhead we would have better leverage through higher utilization resulting in improved gross margin. The second element of our initiative is the streamlining administrative function. We have consolidated department creating further administrative efficiencies. We continue to work on improvements in working capital utilization and have targeted supply chain management initiative. Managing the balance between lead time and inventory more judiciously and applying lean management principles to operation will allow us to run the business with less work in capital. Additionally, we have continued to assure more standardization to our progress payment term. With that, let me turn the call over to Brian to review the financial results.
Brian Smith: Thanks, Hans and good morning to everybody. So if you’ll turn to slide 12 now we’ll talk about revenue and backlog. We have got Q1 2014, 2015, 2016 as a history four year, this is our typically our lowest quarter relative to revenue $8.4 million is the highest first quarter revenue we have had in our history. It included one machine sale in S-Max+ to a very large automotive company, which we were happy to complete in the quarter we shipped that machine in the fourth quarter of 2015. In addition, revenue from our leases as well as, revenue from somewhere multi element revenue arrangements from previous machine sales were include there. Backlog has remained steady from 2015 year-end, we’re happy with that. So we’ve replaced any sales we’ve had in the first quarter out of backlog with additional orders during the quarter. If you’ll turn to slide 13, you will see our shipments during the quarter, we shipped four machines now on lease, and shipped one other S-Print that will be a sale transaction in future quarters. And you can see at the top there the S-Max+ that we shipped in Q4 was recognized in revenue. Slide 14, quarterly machine sales doubled during the -- from 2015 to 2016 $1.1 million to $2.2 million. We’re beginning to reverse the TTM trend that we had a negative, which we weren’t happy with due principally for the first few quarters of 2015 low machine sales. We expect that trend to reverse in the next couple of quarters. Slide 15, please. Non-machine sales revenue growth, solid growth albeit that non-machine can still be a bit lumpy with the some of our larger projects. We’ve mentioned earlier that we would be actively reducing our pricing through supply chain efforts relative to some of our consumables and so that as those volumes pickup, we’ll push down some of our growth factors, but we think that will -- that trend will pick up here in later quarters. Lower pricing for our consumables, we believe drive the acceptance of binder jetting technology, and is the right thing to do both for us, as well as, for our customers and those supply chains efforts have been working out well for us. If you look at the TTMs we passed the $25 million mark on trailing 12 for non-machine growth and we’re pleased with that, continued growth on a TTM basis. Slide 16, we’ll talk about gross profit and margins last year we had zero margin principally because of the inefficiencies with moving from our five or six different locations Germany to the consolidated location in Gersthofen, as well as our built out here in our North Huntington facility those margins have now picked up volumes drive our margins, we have a good leverage model when we get higher volumes as we did in the fourth quarter of 2015. And so we’ve seen that rebound and our TTMs are trending the right direction. And we would expect that trend to continue into 2016. Turning to the next slide on G&A, we were at $5.3 million in Q1 2016 significantly lower than both Q1 2015 and Q2 2015, typically our highest quarter is the fourth quarter it evolves around some of our closing costs and other costs associated with year-end. We have been able to significantly lower some costs from Q1 2015 principally some of the costs related to our ERP system as well as other consulting costs either in sourcing them into the existing -- our existing team and acquiring that knowledge that way or through bid outs and other types of supply chain efforts. And we continue our efforts to drive down our G&A run rate. R&D, you’ll see R&D relatively flat for the entire period, largely our R&D is our facility costs and our R&D team, our people cost related to our team and some of the variations will be for materials for further machine development or for material qualifications. We continue to have significant effort in R&D and we will continue that effort very targeted. Slide 19, CapEx, if you remember we said in 2015 that our CapEx would reduce significantly, in 2016 we continue to trend from 2014 we have largely build out our facilities. Our cash CapEx was only about $200,000 and our transfers we take our machines, principally our machines out of inventory either put them into property equipment for our own internal use or when we have leases we would transfer that,, we consider that a non-cash transfer and that approximately $1.5 million there is largely the leases that we shipped during the quarter, as well as some other equipment that we moved out of inventory. We said we would lower that and we’ve significantly lowered our CapEx spend. Slide 20 is our cash flows bridge from our cash from 12/31/15 to March of 2016. You can see when you combine our cash flows from operations and you combine that with our CapEx it’s about a $1.2 million burn comparably speaking that was about a $6 million burn in Q1 2015. Our working capital efforts are evidence there largely good strong AR collections, good contract terms relative to our AR and some positive movement in our deposits from our customers are up to $7.5 million offset by fairly significant paid out of AP and accrued liabilities. So we continue to pay on time. We also raised about $13 million the largest piece of which was from an equity raise with an entity associated with Kent and we finish at $31.3 million of cash as I said earlier. Page 21 is a summary of our balance sheet. Virtually no debt, you can see what I talked about before on the cash equivalents movement from $19 million to $31 million. With that I’ll pass it back to Kent.
Kent Rockwell: Okay. Thank you, Brian. Again just trying to sum up where we see the 2016 outlook. We do have a very firm backlog that we believe is going to be growing. We have a solid order rate that we are very comfortable with. We have had I think nine new orders from seven different customers so far in the months of April and early May. And so all of that looks like -- and it’s a mix of direct machines and large machines and so that’s going to help us. We will be burning off some of the backlog as we go into the balance of the year. And historically we’ve always stated that the first half of our business is going to be 35% to 40% of revenues and the second half would be sort of 65%-70% and that balance probably still going to apply. I think that pretty much has to do with just these purchasing cycle for machines in a way that large companies acquire larger capital goods and we are very comfortable with the flow rates, the order flow rates and we are expecting very good revenue growth in this year. Our performance is obviously going to be strongly improved as a result of the cost containment efforts we’ve had and the elimination of some non-recurring expenses. I also would point out that a lot of these expenses are still going to be in our 16 year and is really going to be the closed in the 2017 that you get the annualized impact some of these early touches. Brian spoke to the cost improvements and Hans has mentioned some I am not going to go on that anymore. I do believe that the direct business is really heating up rapidly right now and we knew that this would take time. But the opportunities in this business as it moves out represent again larger opportunities we must see them available in the standalone businesses. So we continue to be cautiously optimistic we’re increasing our optimism based on the order flow rate and the number of customers that are coming through the door that are asking us and paying us now to do this rather than having us jointly work with them on their development opportunity. So we are very pleased and confident about our business and we hope that you’ll come to share that with us. I do see that there is a substance for some of the analysts that we need to be communicating a little bit better, some of our issues about how this business breaks down so we’re going to focus on trying to get a better quality package of information out to the investment community to get them to understand the differences of where binder jetting growth opportunities are and how it’s playing out in these various machines that we’re offering. So with that Karen we can turn to questions.
Karen L. Howard: Donna we’re ready to open the lines for Q&A. Thank you.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question is coming from Jason North of Jeffries. Please proceed with your question.
Jason North: Good morning. Looking at the PSC revenues in Q1 they came in at below what I thought especially with parts should have been helping out, can you discuss there some of the puts and takes there was the price reductions more than you thought I think you referenced some chunky demand would you see that year-over-year growth rate you expect that to improve as we go throughout the year? Thank you.
Brian Smith : Yeah Jason hi this is Brian. We did see customer delays relative to parts so far we expected to have it finished in Q1, it looks like now it will roll out into June. So we expect it to finish in Q2, but it’s really delivery of parts and their inspection process before we get approval on those parts. And so no real issues with the program just more customer delays. So we would have expected the potential to be a little bit higher too, but with the push out of parts that kind of explains it to us.
Kent Rockwell: Jason I would say that the energy markets continue to be very soft in the first quarter. We’ve actually seen a pick up as we started to move in March-April on some of those accounts, but I think that across the board it was just a little bit of a slower start and that’s actually not unusual for Q1 in my opinion. But it was a little softer I think we’re now seeing it get back up to where it should be.
Jason North: Any sense in terms of what we should we think of excluding parts in terms of year-over-year growth there I think is about 9% there in Q1?
Kent Rockwell: We would expect to finish stronger than that and again without providing any further guidance we’d expect stronger than that growth for the year.
Jason North: Okay.
Kent Rockwell: We do have a lot of activity on other contracts that they occur and it’s just a question of execution at this point.
Jason North: And then looking at the bookings here in Q1 the revenues for the machines that you shipped but did not receive revenues upon, they were mainly older systems, can you just discuss some of the trend there [indiscernible] throughout the year?
Kent Rockwell: I'm not sure I understand the nature of your question, but yes we do expect a large addition to the deliveries of S-Maxes principally during the course of the year we have some Exerial in there and deliveries of the Exerial I think we understand whether or not they hit revenue recognition will be a function of their timing and the customers’ definition of acceptance because these are really the first data machines going into very, very large automotive applications where they will all have used several machines. And there will be some time in the development of that installation, because it’s going to integrators for a large [indiscernible] companies.
Jason North: Just to clarify, are you saying you expect additional Exerial shipments this year or is it the ones that shipped out last year that you are still waiting for revenue recognition...
Kent Rockwell: We anticipate additional shipments and there is the opportunity that we may recognize revenue on few of them. But it’s not as important to us that we recognize the revenue as we just get the customer satisfied. Because where they put in one and get it running right then they’re going to put in five or six more right with it to get the lines up to sufficient volume to replace the global line that they’ll be replacing. And this is across a multiple customer base.
Jason North: Okay. And last one from me just a clarification of the last one. I try to ask in terms of the -- looking at the shipments in the quarter was mainly you had a one S-15, three S-Print with your some of your older machines and you don’t have any of the S-Max. And so I hope going forward I think S-Max is tied more towards [indiscernible] production versus [indiscernible] and just how do you see that ratio looking as we go throughout the year.
Kent Rockwell: S-Prints and S-Maxes are our work horses for us. We're going to ship a number of them throughout the quarter. They’re going to vary by quarter just by customer.
Jason North: Great, thanks guys.
Kent Rockwell: Okay, thanks Jason.
Operator: Thank you. Our next question is coming from Saliq Khan of Imperial Capital. Please proceed with your question.
Saliq Khan: Thank you. Hi Ken also Brian.
Kent Rockwell: Good morning, Saliq.
Saliq Khan: Guys your revenue and your gross profit trends are all heading the right direction. However what are you hearing right now from the customer base their purchasing plans and the weaker global and manufacturing economy?
Kent Rockwell: We have diversity of discussions depending on what part of the globe you’re talking at. And then we did have some Russian customers in recently talking about the increasing structure of the Russian economy that is actually strengthening. And they’re now looking to buy -- this is a customer that has three of our machines already plus more machines. And we have not employed anything in the Russian economy because of the impact of the currency in the past several quarters. But they’re saying now that they’re looking at the potential to buy. China is a real, real yoyo experience. The demand when you talk to the Chinese users is very high. They getting money approved or released to make the acquisitions is a little trickier. But it appears that it’s working we’re seeing a lot of activity in China. Of course that’s where the largest casting volume in the world comes from. There is a commitment on the part of the Chinese Government to really exploit our technology so that they maintain their base of business in making casting. And we’re having continuing discussions across a broad front there. So I think China will continue to improve. Europe is actually little bit better than we thought. The U.S. still seems to be treading water. There is commitments that we’re seeing from large OEMs that are putting in the machines, but it’s not as robust here as you would like. And I think that that goes along with the total trend of capital spending by U.S. companies. So there is a mixed bag. Overall we see a much improved economy for us when we look at our anticipated production and delivery schedule.
Saliq Khan: Okay. so when you think -- when you serve your current customer base what are you finding regarding the plans to purchase additional units over the next couple of quarters? So not necessarily going out and prospecting new customer either in China or where you mention which was Russia which I’m hoping at some point those guys come backed in. I realized currency locked them out for your current customer base. Are you finding they’re going to come back in and still continue to purchase some of the S-Max and the S-Prints that you noted earlier.
Kent Rockwell: We are getting a multiple orders from customers that have one machine and now adding their second, third or fourth machine. So, yes I think that the stability of it there growing and we’re very comfortable that the market is improving, the issue is that you don’t know what will happen next that will cause something to turn in a positive or negative direction. And so we just have to say we’re cautiously optimistic based on the fact that the customers are coming to us, they’re coming into our plant and they’re taking about their needs and how their specific applications needed to be addressed with each machine as it’s shipped.
Saliq Khan: Just one last from my end then I’ll hop back in the queue. You just noted not long ago that the CapEx spending was concerned for some of the U.S. companies. And recently, one of the other three printing manufacturers said that what they are finding is that their customers are choosing lower end printers that come with certainly limited functionality, however, they’re choosing this over the higher end systems to address the constant modeling needs and in some cases the rather prototyping needs as well. Are you seeing similar trends?
Kent Rockwell: No. Those customers are showing different machines for different applications. And I think it’s a good bit different from what we’re doing. The industrial -- I think we’re actually seeing opportunities to replace some of those machines that they’re talking about. Do we have competition, of course, there is a couple of people that have claimed that they’re coming out with machines that are similar to ours none of them are on the market now, there is one, that’s a Japanese customer. But they’re using a specialized materials that only Japan really cares about and it's much expensive than ours. The other competitors that are out there, if they have a machine that is truly more competitive it would be at least 24 to 36 months according to their statement before they are relevant and frankly by that time our machines will probably be in a higher level productivity. So we’re not particularly concerned about that you have to expect it, it’s healthy for the market it forces us to be smart and aware, but we have no concerns that there is lower cost alternatives that are going to impact our business in any point in the near future.
Saliq Khan: Great, thank you.
Operator: [Operator Instructions] Our next question is coming from Ben Hearnsberger of Stephens Inc. Please proceed with your question.
Brandon Wright: Hey, thanks for taking my question. And this is Brandon in for Ben. Just starting out on the OpEx line on a dollar basis, obviously down nicely year-over-year, pretty much flat sequentially, is this kind of the run rate we should think about on a dollar basis for the remainder of the year? And then just a follow on to that question, is breakeven kind of on an operating cash flow seems still the right of way to think about it? Thanks.
Brian Smith: Brandon, I’ll take the SG&A question. As I said, first quarter -- usually fourth quarter and first quarter are our higher quarters. So a little bit of anomaly last year in Q2 2015, but those are usually our higher quarters. So we wouldn’t expect any increases relative to a run rate, in fact are looking at reducing that type of quarterly number. I am sorry what’s your second question?
Brandon Wright: In terms of the breakeven run rate, in terms of EBITDA operating cash flow really for the full year is that still where you think about it?
Brian Smith: Yes, that is certainly our goal.
Brandon Wright: Got it. And then is there any color you could provide maybe on what you’re seeing, in terms of trends of lead time in between getting a customer to sign a contract, ship and then book as revenue, are those differences in time going down and what are you seeing there? Thanks.
Kent Rockwell: I will try to take that was Brandon. The -- where we have new customers that are applying this for the first time, you have the issue that when they take a delivery of the machine that they don’t have to train their people or get it running correctly and what finding in a lot of the international markets like India and even in China that we need to really be more aggressive about training them better and getting working with them for a longer period of time. See that they start to run the machine right because it’s very easy when you leave their facility that they go off and start to do other things and we have to come back and change it. But when you get somebody that has machines as we have again a growing population again we've 100 machines out there that they are starting to understand how to use them better. And so now it’s a question about how can they expand that application and make it more cost effective for them as they go along. So just by driving our cost of goods through the consumable cycle down we are able to improve their cost effectiveness and I can’t again emphasize enough that where binder jetting is not the answer for everything in 3D printing. It is one answer. But if the answer is specific to high volume, low cost. The other technologies are not able to get and compete at this point in time with our cost effectiveness and that’s what’s getting most of our customers’ attention.
Brandon Wright: Got it. Understood. Thanks for the color guys.
Operator: Thank you. Our next question is coming from Patrick Newton of Stifel. Please proceed with your question.
Unidentified Analyst: Hey, guys. This is James [ph] on for Patrick.
Kent Rockwell: Hi, James.
Unidentified Analyst: Hey. So given growth from the medical line market, I know you guys are mostly focused on the high volume industry application. But do you see any relevant applications for binder jetting in that end market or have any plans to go after that?
Kent Rockwell: We have instances where medical firms have come to us and they asked us if we can make pieces there are more odds and ends we are capable of doing it. Our technology sometimes does not provide the highest finished resolution that some of the medical guys look for. And so we don’t focus on that application we are focused on what we would say is industrial is not medical to us and we do on occasions satisfy a customer’s need. But it’s not our focus the way the e-team guys like Arcam that’s a special focus for them they do a reasonably good job in that market.
Unidentified Analyst: And then do you have any foreign currency impact, foreign exchange on revenue or expenses during the quarter?
Kent Rockwell: Not significant, so we dropped some of the dialogue on it, not very significant movement relative to impacting us from a revenue standpoint.
Unidentified Analyst: Okay. And then one last question the CapEx guidance for $1.5 million to $2.5 million that’s in the queue. I just want to make sure that the cash CapEx doesn’t include your inventory transfers.
Brian Smith: I think what we said was we were expecting to run out $2.5 million more in the next three…
Unidentified Analyst: Okay.
Kent Rockwell: I think that was the disclosure and again it’s all depended upon our order flow relative to leases, so leases would pick up. It would be higher. We don’t expect that they cash out lays as you can see by the $200,000 in the first -- or $180,000 in the first quarter. But it's a combination of both. In the short run we may choose to take these leases. But we are also considering packaging and selling them off because we are getting more opportunities where leasing companies are willing to look at that. So we don’t want to turn down the customer initiative at this time.
Unidentified Analyst: Thanks, guys.
Kent Rockwell: Okay, thank you.
Operator: Thank you. At this time I'd like to turn the floor back over to management for any additional or closing comments.
Kent Rockwell: Okay. Thanks again for everybody for attending our meeting this morning. Hopefully we gave you little more visibility. We’re still as I said excited about the outlook for our technology and for our customers and the increasing number of highly qualified customers that are passing through our doors. Our cautious optimism for 2016 is increasing. And we move towards mid-year we could probably get more specific about some of that. We’d like to thank all of the ExOne associates around the country that are providing their diligence and hard work as we try and grow and improve. And we’re looking forward to updating you on the second quarter when we get to August. So thank you for your time.
Operator: Thank you. Ladies and gentlemen this concludes today’s teleconference. You may disconnect your lines at this time. And have a wonderful day.